Operator: Ladies and gentlemen, thank you for standing by. I am Gaily , your chorus call operator. Welcome and thank you for joining the OTE conference call and live webcast to present and discuss the fourth quarter 2021 financial results. All participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session.  At this time, I would like to turn the conference over to Mr. Michael Tsamaz, Chairman and CEO; Mr. Babis Mazarakis, Chief Financial Officer; Mr. Panayiotis Gabrielides, Chief Marketing Officer, Consumer segment; and Mr. Evrikos Sarsentis, Head of IR and M&A. Mr. Tsamaz, you may now proceed.
Michael Tsamaz: Good morning or good afternoon to all of you. And welcome to OTE's fourth quarter and full year 2021 earnings call. I know February is already almost over. We wish all of you, who I haven't talked to yet, a very healthy and successful year. I'm speaking to you in a difficult day for the world and for Europe in particular. We hope that there will be a quick and fair resolution without unnecessary suffering. We had a very strong fourth quarter. Capping a year when we recovered from the pandemic, strengthened our competitive position. We pursued and intensified our ambitious investment program. Before I go any further, I want to express my gratitude to all the OTE women and men who have worked hard, often under very challenging conditions, to get us where we are today. Without their enthusiasm, dedication and speed of initiatives, our performances and our leadership could not be achieved. If some of you are listening, thank you. At the group level, our full year sales were up more than 3%. Our EBITDA was up nearly 6%, and our free cash flow was up 17%. Of course, this is largely due to solid performance in Greece, where our full year revenue was up close to 5%, with all revenue lines up by a substantial margin. The ever growing demand for higher speeds drove the growth in both broadband and mobile data revenues. As you know, we decided to continue investing even to intensify our investments through all the years of economic crisis and more recently through the pandemic. I was convinced that the only way forward for OTE was not to retreat, but to build the infrastructure the country would need to put itself out of the crisis, we did it. Our networks are in great shape. The customer experience we provide is second to none, and we see the results in our fixed and mobile service revenues. We are not done yet, and I'll get back to that. We're also investing in growth in our TV revenues shows that this is what is paying off. We signed top eight of the 14 Greek Super League football teams for exclusive broadcasting rights and enriched the offering of our OTT streaming services. As a result of this other - of this and other advances, we posted an almost 9% increase in our TV subscriber base. In mobile, it is not just the superiority of our networks that makes a difference. Yes, we have the best 5G coverage in the country with 60% population coverage planned to go up to 80% this year. In our two largest cities, coverage even exceeds 97% in Athens and 90% in Thessaloniki. But it is also our more for more strategy that keeps our customers happy, as witnessed by Cosmote's very high satisfaction ratings. And the efficiency of our application, together with the recovery of tourism, has led to a more than 4% increase in our mobile sales revenues last year. We believe we have an important role to play in getting businesses, the public administrations, as well as residential customers better equipped for the digital race. In 2021, we were awarded a great number of major ICT projects, supporting our business to business revenues. B2B is an area we will continue to emphasize for the benefits it provides to all, both in the immediate and the long-term. As much of the progress we have already made is impressive, we always must do more. On the one hand, our market is always more competitive, and there are new challenges ahead. And on the other hand, when it comes to fiber, networks still lag some of the other European countries. This is why we have decided to embark on a critical fiber to the home development program. Last year, we nearly doubled the amount of homes passed by a fiber to the home network to over 560,000. We want to reach close to 1 million homes by the end of 2022 and 3 million by 2027. So we have committed to a six year program of more than €3 billion to reach this goal, which is key to our success for our future outperformance and to the continued economic progress of our market. Finally, I would like to say a word about our new shareholder remuneration policy, which we have announced in our earnings release this morning. To face the investment needs I just discussed, as well as evolving - the evolving competitive landscape in our market, we decided that we needed a little bit more flexibility. Through dividends and share buybacks, we intend to distribute between 70% and 100% of our annual free cash flow. It's normalized, we'll pay out to shareholders. As you know, we're starting from a high base. We announced the 2022 shareholder remuneration up more than 4% from 2021 level, which already was up 20% from the prior year. We have revised our policy, adopting the split between share buybacks and dividends. We will maintain a high total payout, more geared towards buybacks, providing a steady return to shareholders. These moves are aligned with the implementation of our business model entirely settled on our generating and distributing growing free cash flows. This sums up what I want to tell you about the year. And I will now pass the phone over to Babis for his review of the fourth quarter.
Babis Mazarakis: Thank you, Michael. Hello to all of you. Thank you from me as well, and wanting  my wish to Michael's. It was indeed quite a good quarter at the end of a good year. I would also like to mention Romania, where our mobile operations in the first full quarter of life, without fixed, showed very encouraging signs of normalization. But let's start with the group. Total net group revenues were up 5% or more than €40 million in the quarter driven by growth in Greece. Adjusted EBITDA after leases was up more than 12% to €332 million, with both countries contributing to the improvement. So the group adjusted EBITDA margin jumped by 240 basis points to 37.2%. Turning to Greece, where total revenues of €813 million were up 4.5% from the Q4 2020 level, driven by revenue increases across the board. This healthy growth rate was achieved despite the marked sequential slowdown in sales of handsets, which have been fueled in prior quarters by government initiatives and incentives now coming to an end. Retail fixed service revenues were up over 2% this quarter, slightly ahead of the Q3 growth rate. We had another solid increase in broadband, up nearly 8%. This is all the more impressive than the period of special year end holiday initiatives, including generous offers, particularly for long standing customers. We also had a sharp jump in TV revenues, which rose nearly 14%, mainly driven by demand for enriched sports content. With the addition of 49,000 fiber subscribers in the quarter, we had a strong growth of more than 200,000 accounts in 2021, speeds of 100 mega bps or more accounting for 25% of fiber subscriptions at year end, an increase of 11 percentage points compared to the end of 2020. In an increasingly competitive market, OTE's continued growth is due to the quality of our service and its increasing availability, as we build up our networks to reach customers wherever they are. As you know, we are increasingly relying on fiber to the home to sustain our growth in high speed broadband. We invest and exceeded our 2021 target with over 560,000 homes passed at year end. We added 13,000 retail fiber to the home subscribers in the quarter to 60,000, while utilization rate now reached 11% of homes, which were passed at the end of the year. And we expect this rate to rise sharply as fiber to the home availability growth, the benefit of the service become better known and high speed, high quality offers strengthen customer satisfaction and reduce churn. In addition, we announced a number of initiatives to double speeds for all eligible customers. Superior content and demand of our OTT service, notably specialist channels, have driven total TV subscriptions to rise by 49,000 or nearly 9% during the year. In the quarter alone, they increased by 24,000 to a total of 624,000. Turning to B2B. We had another solid quarter in ICT projects, leading to a year-on-year increase in revenues of nearly 8% with public sector and digital initiatives, as well as assignments from private companies and utilities, all of them contributing to the good top line numbers. Revenue from wholesale grew sharply, up more than 11%, largely reflecting timing difference at our international wholesale traffic company, OTE Globe. Mobile service revenues in Greece were up more than 2% in the quarter, bringing the full year growth rate to over 4%. This is due to our strong competitive positions and sector leadership, reinforced by our more for more strategy, implemented systematically in both prepaid and postpaid. Once again, all segments of the business, non-roaming, as well as roaming, contributed to the growth in revenues during the quarter. Q4 prepaid revenues were up nearly 2% from a demanding base, while postpaid revenues, also up almost 2% delivered a third consecutive quarter of growth. Revenue from visitor roaming were up again, though, obviously, in the fourth quarter we don't enjoy huge tourism inflows. Our investment in infrastructure, notably for the 5G network, and our attention to excellence in customer service enabled us to deliver value for money in mobile as we do in fixed. We are confident that this will allow us to maintain our leadership this year in a changing competitive landscape. I should note that during Q4, we have been busy on the commercial front, applying several offers to our customers to enhance loyalty and our competitiveness. We are committed to improving value for money from all of our services in fixed, as well as mobile. These initiatives should also strengthen our positions in coming periods. Operating expenses, excluding depreciation and amortization and one-offs in Greece, amounted to €478 million in the fourth quarter, up over 3%, largely reflecting higher revenues in wholesale traffic. Energy costs, impacted by the global increase in fuel prices, were up approximately €12 million in the full year. We are able to offset these with savings in other cost items. Personnel expenses were down nearly 20%. A large part of the drop is due to the pandemic volumes we had paid in Q4 2020 and to reversal of a provision for retirement indemnity consecutive to last year's restructuring. The balance of the improvement is a result of the efficiency actions we have been steadily implementing since past years. Adjusted EBITDA after leases in Greece exceeded €321 million, an increase of more than 7% from the fourth quarter of 2020, resulting in the 5.5% gain in the full year. The quarter's EBITDA margin showed a 100 basis points improvement to 39.6%, while the full year margin was up 30 basis points, as we leveraged our sound top line growth and 2020 restructurings. Turning to Romania now. Our Romanian mobile operations, wholly owned and separated from fixed, continued to make progress in line with our plans. While total revenues were down nearly 2% in the quarter, this is largely due to the fact that the comparable number last year, included - sorry, included revenues from an ICT project involving the installation of WiFi in public schools and to other one-offs. Mobile service revenues for daypart were up about 1%, 10  positive after the string of negative quarters. In the full year, mobile service revenues were down 4%, with sequential improvements quarter-after-quarter. In 2020, the comparable drop was minus 9%, so we are clearly moving to the right direction. The company started to refocus on the mobile-only segment, while the market is starting to show results. Its postpaid base continued to grow and was up more than 5% year-on-year at the end of December. The prepaid base showed some improvement, down just 2% in the quarter against a 10% decline in Q3. Following an 8% reduction in mobile termination rates in the middle of the year, we had a further huge cut of more than 21% imposed by the regulator as of January 1st. While this should impact the early part of the year, Telekom Romania Mobile expects roughly stable revenues for 2022 as a whole. Operating expenses, including depreciation, amortization and one-offs, were less than €68 million, a drop of nearly 19% compared to the fourth quarter of last year. This partly reflects certain provisions and reorganization expenses in the fourth quarter of last year, but also our general cost discipline, which continue with this year. In the full year, total OpEx was down nearly 14%. Telekom Romania Mobile's adjusted EBITDA after leases exceeded €10 million as compared to negative EBITDA of €5 million in the fourth quarter of last year. For the full year, adjusted EBITDA of more than €30 million was in line with our expectations and guidance and 25% above last year's. We expect to nearly reach €40 million this year in 2022, skewed towards the second half of the year. All told, we are satisfied with the steady progress of our Romanian mobile operations and expect further improvements throughout 2022. Now going back to the group P&L. Total operating expenses, excluding depreciation, amortization and one-offs, amounted to €542 million, up 1.5% from Q4 2020, reflecting the higher revenue base, as well as intense marketing activity during the holiday period and hikes in energy cost. Personnel costs were down 19% in the quarter and more than 10% in the full year. We are continuing to exercise stringent cost discipline in all the items we can control. Group adjusted EBITDA after leases was €332 million, up more than 12%, demonstrating our solid operating leverage. Depreciation was down 6% in the quarter, but up sequentially due to sports content acquisition. Income taxes totaled €42 million. In the full year, income tax of €234 million were about five time the level of the prior year, reflecting the tax impact of deductible investment losses recorded in 2020 and higher profitability in 2021, as well as the impact on the deferred tax asset base of the reduction in corporate income tax rate from 24% to 22%. Moving to the cash flow statement now. Adjusted CapEx was €161 million, roughly in line with the same quarter last year. In the full year, adjusted CapEx was €559 million, in line with our €550 million guidance mark. Adjusted free cash flow after the lease was €149 million down 42% from last year, reflecting additional income tax payments as well as working capital timing issues due to the different mix of projects invoiced and the actions we undertook to mitigate inflationary pressures. With 2021 full year adjusted free cash flow of €590 million, we are down about 10% from 2020, in line with our guidance of approximately €575 million. Reported free cash flow totaled €101 million in the quarter and €483 million in the year, in line with our target. This supported our shareholder remunerations, which as we announced this - for this year, 2020  we expect to distribute €500 million split at 50%, 50% between cash dividend and share buybacks, and this split is going to stay stable for the coming years. In conclusion, I can only reiterate Michael's message of quite satisfaction with cautious optimism even if today's news is far from reassuring. We are confident in what we can control and doing everything we can to minimize the impact of what is not under our control. In particular, we believe that our investments in network, content and customer services will stand us in good stead, whatever challenges we face in 2022 and beyond. And now Michael, myself and Panayiotis and our colleagues around the table are going to take your questions. Operator?
Operator:  The first question is from the line of Draziotis Stamatios with Eurobank Equities. Please go ahead.
Draziotis Stamatios: Yes. Hello, there. Thank you very much for taking my questions. Let me start with a couple on the shareholder return policy and then follow with a question about the operations. So firstly, on shareholder remuneration, could you just run us through a bit in more detail through your thoughts as to how you came up with this, the 70% to 100% range, and why you opted for a balanced split between dividends and buybacks? And I guess, related to that is a question on why you are not considering a scrip dividend program, which would allow you to potentially institute a more generous policy, while saving cash in order to finance the accelerated fiber to the home rollout program? Thank you.
Babis Mazarakis: Is it the only question? Because you said you have one operational question as well?
Draziotis Stamatios: Okay. Yeah. So - and then regarding operations, yeah, I'm just wondering, you mentioned about the upgrading of broadband speeds. And in your press release, you say this will enhance fiber penetration and strengthen loyalty. I'm just wondering what this means from a regulatory perspective, i.e., whether you will have to proceed with a reduction in wholesale prices as well? Thank you.
Babis Mazarakis: So thank you for the question. Let me take the first one. I think it's very clear in our announcement that our remuneration policy does a couple of things. First of all, it confirms our strong belief that our operational model is effective as have been the case so far. And the investment we are proceeding, the huge investment plan we announced, will be the springboard along with the commercial activities to secure the growth for the future. So in line with that one and, of course, the sizing of the investment and the timing over the years dictate some adjustment for the payout. That's why we introduced this range of between 70% and 100%. As you can see for 2022, we are somewhere in the middle of this range, confirming that the - what we're asking here is to secure the market flexibility against the program for the next years. The dividend and buyback, I mean, both are the – they very work for the investors. And I think the most important part here is to note that despite of the uncertainties and despite the huge CapEx plan that we have ahead of us, we are managing to increase even this year for '22 versus '21 the total payout by 5%, and I think that's the most important message to the - for the investors in the market. And at the same time, this comes over another 20% of the total payout that was between 2021 and 2020. The split, as we said, the 50-50, is something that - in the coming years is something that will characterize our distribution every year. So it's not just for this year, but also for the next year. And the share buyback is a program that secures a constant flow of returns to the markets on a steady basis, also helping in volatile times as we have today. As for the scrip dividend, it's something that is always under consideration, and it may be analyzed for future cases. So that's behind the remuneration policy. And without repeating myself, I think the most important part is the continuous increase of the total payout and the underlying confidence of management that the plan we have put forward secures a growth model. For the second part, which is the upgrading broadband speed, I think it's a move that is characterized by its leadership from our company in the market to offer always the best service along with, let's say, innovative ideas how to entrench our customers into the fiber to the home case. And regarding the regulatory environment, there's always discussion with the regulator, but this one, the commercial move, it's something that we should highlight now and the importance it has to be for our customer base.
Draziotis Stamatios: Okay. So it's safe to, I mean, as far as I understand, so far, there hasn't been - you don't have any indication as to whether you will need to proceed to some pricing action in the wholesale segment?
Michael Tsamaz: Okay. First of all, we have submitted our tariffs  programs update to the regulator. And gradually, we're getting the approvals on the programs that we have submitted, okay. Gradually, we have more than 450 programs that have been submitted to the regulator for double up. And these programs, these tariffs  programs, because they're regulated, as you know, have to be . So that's one thing. And if you ask me, I don't think any regulator would deny to approve the doubling of the speed of the customer, in other words, improvement of service without any cost, that's one. Now regarding the wholesale prices, we have - we are discussing with the competitors who buy wholesale from us, we have made a proposal. And currently, we are having discussions regarding how much we can reduce the wholesale, I would say, from upgrading from the switching center to the cabin. But this is going to be one-off. And we are cautious not to have any effect on our balance sheet or on our revenues on the wholesale. So this is - it's not something that worries us, in other words.
Draziotis Stamatios: Okay. That's very helpful. Thank you so much. And just a very quick follow-up on the remuneration question. Just from your guidance about reported cash flow this year, which will be 600 vis-à-vis the distributed amount, which would be 500, is it safe to assume that you basically anticipate high operating cash flow this year, but lower next year due to presumably, I don't know, tax swings or working capital swings?
Babis Mazarakis: The purpose of the split of the new regulation policy is, first of all, to secure that the total payout will continue to follow the anticipated growth of the operations and the performance. So in this sense also the investment program we have announced, of course, expands up until 2027. But specifically, the peak will come from next year onwards since this year up until it's fully scaled, it will take some months. So all this is a safety that even if we have more investments next year, this will not impair the equation that say that if we increase our performance, then also the remuneration to the shareholders should be increasing accordingly. And this buffer here, this is the spirit behind the range between 70% and 100%, secures that if we have bumps in the, let's say, operating free cash flow due to the different timing of investments, this will not result in bumps also on the shareholder remuneration, but it will smoothen out the payout. That's the whole story behind that one.
Draziotis Stamatios: That's very clear. Thank you so much.
Babis Mazarakis: Thank you.
Operator: The next question is from the line of Ierodiaconou George with Citi. Please go ahead.
Ierodiaconou George: Thanks. Good afternoon and thanks for taking my questions. I had a couple of follow-ups. Firstly, on the shareholder remuneration and just - the comments you just made, Babis, around smoothing the outlook for remuneration. Is it fair to assume that this €500 million is something you view as a floor and you'll try and have some growth if you can in the coming years? Or can you see scenarios where potentially you may even have to scale, reduce the shareholder returns? The other question I had is one on mobile service revenue. You mentioned during your introductory remarks that you enhanced value for customers in the fourth quarter. I just wanted to get an idea whether that had an impact, if there's any reason why we should worry that there could be more slowdown in , whether that was a temporary adjustment in the fourth quarter. And then my other question is around energy costs. If you don't mind giving us a bit of an idea of how much impact you expect to see this year, if there is any hedging that benefits you or whether you are seeing the full effect already in 2022? Thank you.
Babis Mazarakis: Thank you for the question, George. Just on the first point on the total payout, adjusting that one, the whole core structure is secured that we have, let's say, enough flexibility to say that going forward. And with the performance of the company, this also will reflect increase in the - the increased performance of the company will reflect an increase also on the payout. So there's no intention to scale down while the performance would go up, if that was the question. These two things should go in parallel. On the mobile part, for Q4, I think we said that we were very active commercially in Q4. The reasons are obvious, I mean, our 5G network was more or less very well out and also the - our strategy to work always for more for more and push the uses of data in - to our customers in a way that will become more economically - for our customers to utilize more gigabytes, resulted to a very intense marketing campaign, which actually may have an impact on the revenue since we did a lot of offers. But this is not a repetitive thing. It was just for Q4. And if we wait a little bit for Q1, we will see that the trajectory is still there. But it's something that is very helpful also for the loyalty of the customers because the more we do intensive campaigns that reward our customers, the more the customers will reward us with loyalty and with acceptance of the more for more strategy. Regarding energy, I mean, even if I had a crystal ball, it will be very difficult to say where costs will go this year. However, I can say that we have a significant part of our energy consumption under, let's say, closed contracts, closed in previous periods when - at lower prices versus what they prevail today in the spot market. And we all hope that the situation will smoothen out in the coming quarters. But we are good covered for this year and for a good part of next year as well. Obviously, I mean, if the energy prices prevail, then all the models will have to be looked. But based on the current outlook, the 2022 doesn't pose any significant risk to our numbers because of the growth products. So that's a long answer to your short question.
Ierodiaconou George: Very clear. Thanks.
Babis Mazarakis: Thank you.
Operator:  Our next question is from one of our webcast participants, Mr. Giannoulis Dimitris from ResearchGreece.
Giannoulis Dimitris: And I quote. Hi, all. Do you have any take-up subscriber targets for FTTH for the next one to two years? Or any monetary sales EBITDA targets related to FTTH? Thank you. Dimitris Giannoulis, ResearchGreece.
Michael Tsamaz: We cannot disclose.
Babis Mazarakis: We don't give those specific numbers, but I can point out to our announcement about the fiber to the home rollout for the coming years, where we said that we have a program to pass from 3 million homes by 2027 with a trajectory that start peaking this year and then will follow there. We also said that currently, we have utilization in our current home pass, which by the way, at the end of the year, I remind, it was 560,000 homes, of about 11%. And since we are in the early stages of the rollout, this is fully explainable. So for modeling wise, the take-up rates of fiber to the home in mature countries are much higher than this 11%. So we all expect that as we roll out our plan, also the customers will join our customer - our network on the fiber to the home in the coming years. So that's the information that - or the guidance that we can direct right now.
Operator: Thank you.  The next question is from the line of Papageorgiou Alexandros with NBG Securities. Please go ahead.
Papageorgiou Alexandros: Hello. Thank you for the presentation. I just wanted to hear your thoughts on the competitive environment in Greece given - especially given the United-Wind deal. And a second question about your debt level going forward, especially given the - well, the increased investments that you described, do you have any thoughts of upsizing your debt? Thank you.
Michael Tsamaz: Regarding the question about the competition and if it will intensify, yes, we expect competition to intensify further with Nova merging with Wind. But this is not - it will not be the first time we see this either as an MVNO or a merger. We've seen it again in the Greek market. We have a very solid and successful strategy. We always focus on investing for the best-in-class networks, the best products and services, premium customer experience, while at the same time, we want to support businesses, the state and the society to digitalize and develop. We respect all the competitors, but at the same time, we're always very well prepared and always willing to work and compete hard.
Babis Mazarakis: For the second question, the investment plan that we have announced is not - we don't expect to have an impact on our debt level. Those as we demonstrate also this year, it's funded within the pre-CapEx operating free cash flows. So no effect on debt.
Papageorgiou Alexandros: Thank you.
Operator: Next question is a follow-up question from Mr. Ierodiaconou George with Citi. Please go ahead.
Ierodiaconou George: Yes, hi. Just one question. The European recovery fund, I think - the other day, I think, allots for the broadband projects have been allocated. But I was more interested on the SME digitalization and other projects that may be more revenue, may drive revenue more than anything else. Do you mind just running us through at what stage we are in terms of the deployment of some of these subsidies and some of these initiatives? And where should we see the full impact on your numbers over the course of the coming quarters? Thank you.
Michael Tsamaz: Mr. Ierodiaconou, I'm not sure exactly the - if I got the essence of your question. If you ask if we can foresee what would be the pie or the portion that we'll get from the EU recovery fund digitalization pie, which approximately - will be approximately €6 billion-plus. We cannot make this kind of guesses because this goes on by project basis. So we cannot really make a forecast how much of this pie or what is the percentage we can get out of it. However, what I can reassure you is that we are very well positioned because of our expertise, because of our previous proven experience. So far, in the last years that we are working as an ICT operator - ICT company, we have always delivered, both public and private businesses and state owned businesses. So I would say that we are probably better positioned than any other competitor in this event. Of course, we don't expect to stake the whole pie, and we don't want this or don't wish this because it's inevitable that since there are many players interested for this, that projects will go to other players as well, which is okay. What is important for us is to prepare our cases, to prepare the tender envelopes, as we call it in Greek, which - and also deliver each projects that we undertake. And once we do this, and this will have proven so far, then when we are being assessed in terms of grade, in terms of quality, we are always ranking at the top because since we have delivered so far whatever we have received, it's inevitable that we get very good grading in this aspect. Now the pricing is another factor for these projects. We are optimistic. We are well positioned, and we will get a pie - a piece of the pie as well. But it's fine with us if others get a piece of this pie as well. I think the sun shines for everyone.
Ierodiaconou George: And in terms of timing for some of these projects?
Michael Tsamaz: I think after the second half of this year, we'll start. It's not easy to start because we have to prepare, I mean, the state has to prepare the documentation, the requisites, the dimensioning of the projects. It's a number of - it's not easy to prepare each project for a tender. And I'm sure that they're working and preparing the tender envelopes, the tender papers. And I'm sure that we will be surprised positively, let's say, within a six month period, that we'll see one project after the other being launched or tendered.
Ierodiaconou George: Thank you.
Michael Tsamaz: I remind you, Mr. Ierodiaconou, I remind you, you remember two years ago, the corresponding ministry, which was - is responsible for digitalization, for approximately eight months or nine months, was very quiet and everyone was, let's say, anxious and wondering what are they doing? Why don't they launch any digital services? These guys, the ministry have been working behind the scenes very quietly. They were preparing everything. And then all of a sudden, one digital service after the other and one digital process after the other was launched. So this is what I expect. And now everyone talks not only Greece but worldwide about the progress that Greece has made on this digitalization aspect. So I don't worry at all about the RF process. Other questions?
Operator: 
Michael Tsamaz: I think there is a question on the web…
Operator: Yes, there is a question on the webcast. Thank you. It is from Mr. Michalopoulos Labis with Chryssochoidis Stock Brokerage.
Michalopoulos Labis: And the question, I quote is, could you repeat the magnitude of the investment for the fiber to the home project over the next six years? Thank you.
Babis Mazarakis: This we announced back in December, and it's on average about a little bit over €100 million every year, that's the average. But the timing throughout the year will vary according to the rollout.
Michael Tsamaz: So this will be on top of the CapEx that we had for other infrastructure on 5G for systems or upgrade of our systems for new systems. We expect it to exceed more than €3 billion. It's going to go more altogether.
Operator: Thank you.  Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Michael Tsamaz: Thank you all for being on our call today, for your questions and your interest in OTE. In this unsettling global environment, we will continue to work hard on behalf of all our stakeholders. I look forward to talking to you again following our first quarter results. Have a nice day and a nice weekend. Operator, thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling. And have a good afternoon.